Operator: Good morning, ladies and gentlemen, and thank you for standing by. At this time, I would like to welcome everyone to the Stellus Capital Investment Corporation Second Quarter 2021 Results conference call. At this time, all participants have been placed on a listen-only mode. The call will be open for a question-and-answer session following the speakers’ remarks. This conference is being recorded today, Tuesday, August 3, 2021. It is now my pleasure to turn the call over to Mr. Robert Ladd, Chief Executive Officer of Stellus Capital Investment Corporation. Mr. Ladd, you may begin your conference.
Robert Ladd: Thank you, Shelby and good morning, everyone and thank you for joining the call. Welcome to our conference call, covering the quarter ended June 30, 2021. Joining me this morning as usual is Todd Huskinson, our Chief Financial Officer, who will cover important information about forward-looking statements as well as an overview of our financial information.
Todd Huskinson: Thank you, Rob. I'd like to remind everyone that today's call is being recorded. Please note that this call is the property of Stellus Capital Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using the telephone number and PIN provided in our press release announcing this call. I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and projections and we ask that you refer to our most recent filing with the SEC for important factors that could cause actual results to differ materially from these projections. We will not update our forward-looking statements, unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.stelluscapital.com under the Public Investors link or call us at 713-292-5400. At this time, I'd like to turn the call back over to our Chief Executive Officer, Rob Ladd.
Robert Ladd: Okay. Thank you, Todd. I'm pleased to report another solid quarter, in which our net asset value and asset quality were stable. We covered our dividend and had significant originations. As a result of our dividend coverage, our Board approved an increase in our regular dividend to $0.27 a share from $0.25 per quarter and also declared $0.03 of supplemental dividends. We have continued to see an increase in investment opportunities and as a result we funded $92 million on a cost basis during the second quarter. Since year end, we've originated $185 million of new investments and our portfolio has increased by $127 million life – or year-to-date, net of pay-offs, which now brings us to $785 million on a cost basis. We'll begin this morning by discussing our operating results followed by a review of the portfolio including asset quality and the outlook and Todd, will now cover our operating results.
Todd Huskinson: Thank you, Rob. For the quarter ended June 30, 2021, we covered our dividends of $0.25 per share with GAAP net investment income of $0.28 per share. Core net investment income was $0.30 per share, which excludes the capital gains incentive fees and income tax expense. During the quarter, the portfolio valuation increased slightly, which when coupled with the excess dividend coverage led to net asset value per share increasing to $14.07 per share from $14.03 per share. We continue to recycle capital on our first SBIC license and deploy the low-cost debentures in our second license. The all-in rate on the $60 million of debentures, which have pooled so far is 2.7%. To date, we've committed the full $87.5 million of equity to SBIC two and have funded $60 million of that commitment.
Robert Ladd: Thank you, Todd. I'll now cover the following areas: the life-to-date review, portfolio and asset quality and then outlook. Since our IPO in November of 2012, we've now invested in approximately – I'm sorry, approximately $1.8 billion, over 139 companies and have received approximately $1 billion of repayments, while maintaining stable asset quality throughout. We've now paid over $169 million of dividends to our investors, which represents $11.41 per share to an investor in our IPO dating back to November of 2012. Let's turn to portfolio and asset quality. As mentioned earlier, we ended the quarter with an investment portfolio at fair value of $782 million. This is across 76 portfolio companies and this is up from $653 million across 66 companies just at 12/31/20. During the second quarter, we invested $91.5 million in seven new and eight existing portfolio companies, and received $24.8 million of repayments for net portfolio growth at cost of $66.7 million for the quarter. We continue to maintain good diversification by industry sector, and there are 60 portfolio companies where we have debt and/or equity positions and that's an average investment of about $12.7 million at fair value per company. 71 of the 76 portfolio companies are backed by a private equity firm. And overall, our asset quality is stable at a 1.9 on our investment rating system, or slightly better than planned. 19% of our portfolio is rated a one or ahead of plan and 11% of the portfolios market and investment category of three or below, which is below plan. In total, we have four loans on nonaccrual, which comprised 1.1% of fair value of the total loan portfolio. Now turning to outlook. Beginning in the fourth quarter of last year, we began to see a significant increase in our actionable pipeline. Since quarter end, we have funded $11 million in costs in one new portfolio company and received one repayment of $2 million. For the balance of the quarter, we expect some growth in the portfolio. I will note repayments are picking up. These potential repayments could also result in equity gains, which for the balance of the year could be as much as $10 million to $15 million. With that, I'll open it up for questions. And thank you. Shelby, please start the question-and-answer period.
Operator: Thank you.  We'll take our first question from Bryce Rowe with Hovde Group.
Bryce Rowe: Thanks. Good morning. Hi, Rob and Todd. I guess, good morning.
Robert Ladd: Good morning, Bryce.
Bryce Rowe: Wanted to just ask about the last comment you just made, Rob. You mentioned, you expect some level of growth in the portfolio for the balance of the quarter. Does that contemplate the repayment activity that you just mentioned?
Robert Ladd: Yes, it does. It does, but that's why I wanted to qualify that whereas we've seen through COVID and really through the first six months of the year less repayments than normal we now have visibility that that will pick up. But we'd still expect to have the portfolio increase somewhat in the quarter, and certainly over the balance of the year.
Bryce Rowe: Okay. Okay. That's helpful. And then maybe a couple more for me. In terms of pricing wanted to get a sense for what you're seeing on kind of new originations in terms of pricing relative to the current portfolio yield? And are you – I guess, I've kind of seen in other companies some level of stability in terms of spreads and pricing but wanted to get a sense for whether you're seeing that as well?
Robert Ladd: Yes. So I'd say that, our overall portfolio yield on the debt side is a little – is in the low 8%. We would expect that to continue. And of course that's a combination of the coupon and the amortization of the upfront fees. So seeing that in the portfolio, probably on unitranche is slightly less and then – but I'd say, overall should be able to hold at about the 8% level.
Bryce Rowe: Okay. Okay. And then last one for me. It looks like you all even subsequent to quarter end drew more on the SBA or drew more SBA debentures. Any sense for kind of the pace of SBA draws whether it be over the next six months or beyond? Just trying to get a sense for when you feel you might kind of max out the current capacity there?
Robert Ladd: Yes. So I would say, there's – base cases we would substantially all the – draw the remaining debentures by the end of the year, or as perhaps late as the first quarter of next year. So as I mentioned on our previous calls, we've seen an uptick in loan opportunities that qualify for the debentures. So our plan is I'd say certainly by first quarter of next year to see them be substantially drawn.
Bryce Rowe: Excellent. Good detail. Appreciate you all taking the questions. Good talking to you. Thank you.
Robert Ladd: Thank you, Bryce very much.
Todd Huskinson: Thanks, Bryce.
Operator: We'll take our next question from Christopher Nolan with Ladenburg Thalmann.
Christopher Nolan: Hey, guys.
Robert Ladd: Hey, Chris.
Todd Huskinson: Hey, Chris.
Christopher Nolan: Rob, the $0.27 dividend is that -- should we consider that the new base dividend going forward?
Robert Ladd: Yes. And of course, the dividend is always subject to the Board's approval, but we consider that new baseline for the regular dividend.
Christopher Nolan: Great. And then Todd, what was the spillover income?
Todd Huskinson: Yes. So Chris, we have $21 million almost exactly $21 million of spillover income from last year into this year. So it's about $1 -- total was about $1.8 per share on the current share count.
Christopher Nolan: And I guess just in general, can you provide some -- can you articulate some comments about what you're seeing in terms of terms and conditions for deals that you're seeing? Is the pricing gain tighter, but you're holding firm on the terms and conditions, or any sort of color on that would be helpful?
Robert Ladd: Sure, sure. I would say that in terms of structures of the credits they're really what we've always done. So they're -- have financial covenants. The equity capitalization of the companies is roughly 40% to 50%. So -- and leverage quotient is probably in the 3s up to the mid-4s. So I'd say that structures are very similar to the way they've always been for us. Pricing is probably a little bit less. And of course, as you know we've really rotated substantially the portfolio to first lien/unitranche. And so again, I think you're seeing a little bit of pricing pressure, but we've been disciplined about it. And certainly, on the credit side, very disciplined and no changes there. And of course, as you know we always like to be able to participate in the equity of the companies by buying a modest piece of equity alongside the owners and that's turned out to be a good strategy for everyone.
Christopher Nolan: Great. Nice quarter. Thank you.
Robert Ladd: Yeah. Thank you, Chris.
Operator: We'll take our next question from Matt Tjaden with Raymond James.
Matt Tjaden: Hey, guys. Appreciate the time. First question for me on the supplemental. I know obviously up to the Board, but any high-level color you can give us on whether or not we should anticipate that three set supplemental to be more of a kind of recurring programmatic figure or just solely one time?
Robert Ladd: Yes. So thank you, Matt. The -- I'd say the supplemental will be more quarter-by-quarter and in reviewing with the Board. So more to come on that. I should note that in terms of the dividends for the year and this is a follow-up to Chris' question on the spillover. So as you may recall that we need to have declared the dividends for the year to take care of the spillover by September 15. So you will see in this quarter we're in as we did last year by September 15 we'll have declared all of the year's dividends which will take care of the spillover. And so you could see something in addition happen then, but let's see when we get to that point. So the good news is it's already covered, but that will also decrease NAV for the quarter because you're declaring the quarter the full balance of the year dividends and they're actually paid in the fourth quarter.
Matt Tjaden: Got it. Second one for me kind of a two parter. On repayments picking up, any color you've received from sponsors on kind of what's driving a higher expectation of repayments later in the year? And related to that with repayments picking up, how should we expect other income for the remainder of the year?
Robert Ladd: Yes. So I'd say that the repayment activity I think is more a function -- it's almost like there was a pent-up demand in terms of M&A activity post-COVID, which has I think certainly fueled our pipeline. And then as a result and repayments or sales of businesses had been slowed down because of COVID and that now is picking up as well. So I think it's a natural evolution. We're expecting you could see some activity on new fundings in the fourth quarter as people anticipate potentially a higher capital gains rate in next year. Although that would not typically affect our repayments because most of the owners are private equity firms are not really driven on that tax question. So I think really driven just pent-up demand and M&A activities picked up and now you're seeing some businesses sold. And in our case now there are more sales of businesses than refinancings. And then the last question I think you had Matt is just income impact potentially from these. So because the loans have been out for a good while there's really not any call protection left. You should see some modest OID accretion. The bigger impact would be as I mentioned at the outset the equity gains associated with the equity co-invest.
Matt Tjaden: That’s really helpful. I appreciate the time.
Robert Ladd: Yes. Thank you Matt.
Operator: We'll take our next question from Ryan Lynch with KBW.
Robert Ladd: Good morning Ryan.
Ryan Lynch: Hey, good morning. I just have one question. If I look at where you guys are today in your incentive fee hurdle, you guys are in the most recent quarter just at the bottom end of that hurdle range. So you guys are generating a pre-operating incentive fee ROE between that 8% and 10% range, which equates to an operating ROE post incentive of just 8%. And since you're just at the bottom of the range today there's a lot of work that would need to occur to actually get above that -- the upper end of that range to actually grow operating EPS any further than what you guys generated in the second quarter. Is there a desire to try to get above the upper end of that hurdle range and grow operating EPS from here, because you need quite a few things to happen to get there, or are you guys satisfied with just generate within that -- the upper and lower end of you guys put the range at this point?
Robert Ladd: So I'd say that we certainly would like to continue to grow operating EPS for the benefit of our shareholders. At the same time given the risk profile of the portfolio, which is a lower risk profile than we've had historically that's probably the more important aspect. So we'd start with credit risk and what that translates into earnings. So I think we'd love to grow it but we're also comfortable with the ROE we're currently generating. And then -- but to add that we do have -- short of rates increasing, which would come through to our portfolio eventually assuming that's not likely to happen in the near-term. And we have LIBOR floors as a reminder on average of about 1.2%. So it'll take a pretty meaningful change in LIBOR to change the revenue side. But we do have the benefit of the additional SBIC debentures to fund additional growth. And as Todd noted earlier those we've drawn so far on average in the second license are 2.7% including the fees so all-in cost. We'll have another $40 million that will pool in mid-September we think at a comparable or lower cost. So this could help us Ryan just in terms of the operating EPS income. So more to come and that's just a function of additional fundings that we would have.
Ryan Lynch: Okay. Understood. That’s all I have today. Appreciate the time.
Robert Ladd: Okay. Thank you.
Operator: That concludes today's question-and-answer session. Speakers at this time, I will turn the conference back over to you for any additional or closing remarks.
Robert Ladd: Okay. Well, thank you everyone for being on the call. Thank you for your support and we look forward to speaking with you again in early November.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.